Operator: Good day, ladies and gentlemen, and welcome to the Q3 2018 Ameresco, Incorporated Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today’s conference is being recorded. I would now like to turn the call over to Gary Dvorchak. Sir, you may begin.
Gary Dvorchak: Thank you, Mark, and good morning everyone. We appreciate you joining us for today’s call. Joining me here are George Sakellaris, Ameresco's Chairman, President, and Chief Executive Officer; and Mark Chiplock, Interim Chief Financial Officer. First, George will review the operating highlights and Mark will review the financials of the quarter, and finally we will take questions. Note that we have a deck with supplemental financial information. You can download that deck from the Investor Relations section of our website. Before I turn the call over to George, I'd like to make a brief statement regarding forward-looking remarks. This call contains forward looking information regarding future events and the future financial performance of the company. We caution you that such statements are predictions based on management's current expectations or beliefs. Actual results may differ materially as a result of risks and uncertainties that pertain to our business. We refer you to the company's press release issued this morning and to our SEC filings. These documents discuss important factors that could cause actual results to differ materially from those contained in the company's projections or forward-looking statements. We assume no obligation to revise any forward-looking statements made on today's call. In addition, we will be referring to non-GAAP financial measures during the call. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. A GAAP to non-GAAP reconciliation as well as an explanation behind the use of non-GAAP financial measures is available in our press release, prepared remarks, and in the Appendix of the slides. I'll now turn the call over to George. George?
George Sakellaris: Thank you, Gary and good morning everyone. Before we begin I want to quickly introduce Mark. Mark has been with us since 2014 playing an important senior role in the finance team as Vice President of Finance and Controller. His experience and familiarity with our operations enabled him to step in quickly to manage our financials after John's departure. We have a search underway for a permanent CFO and we look forward to reporting progress on the search in the months ahead. Now let us discuss Q3 results, which were very strong, especially in profitability growth and development of backlog. The growing business momentum continued this quarter. We focus on growing profits faster than revenue. Net income was up 26% and adjusted EBITDA was up 23%. Earnings per share also had outstanding growth up 21%. Revenue grew only slightly due to a shortage of control equipment for the Chicago streetlight project, as well as the slippage of a large project into Q4. Nevertheless, the growing contribution from operation and maintenance and energy sales combined with a better mix of project revenue enabled gross margin to exceed 22%. Our visibility continued to improve. Total project backlog grew to over $2 billion, up 18%. Awarded backlog is solid, up 11% to $1.2 billion. While contracted backlog was a record high of $819 million, up 30%. We also grew the energy asset portfolio adding 23MWe to development and putting 4MW of solar into service. Performance this quarter reflected two things we emphasize constantly because they are important to our business model. The first is the growing size and technical complexity of the energy infrastructure projects in our backlog. Complexity plays to our competitive strength in development, design and construction and financing of these projects. The second thing is our continued success in winning repeat business. For several years now we have been driving Ameresco towards the business model with emphasis with recurring revenue, specifically renewable energy sales and operation and maintenance. In addition, Ameresco is steadily winning more repeat business in energy and infrastructure projects. I want to highlight two major contracts we signed this quarter that exemplify our progress towards this attractive business model. The first is Phase 2 of the New York City Housing Authority project, which we call NYCHA. The second is the Joint Base San Antonio ESPC Project. NYCHA Phase 2 will deliver over $100 million in revenue to Ameresco over the next 28 months of design and implementation with additional operation and maintenance revenue over 18 years. As with Phase 1 project Ameresco has subcontractors including organizations employing residents, who will be installing a number of resource saving measures. Once complete the improvements are expected to impact close to 15,000 apartments in 15 developments and to save NYCHA an average of over $8.6 million annually. Managing this project will be complex as it needs to be implemented while minimizing any disruption to the [life betterness] of NYCHA residents. NYCHA is an excellent repeat customer opportunity for Ameresco. Phase 1 will be substantially complete by year-end and will have produced $54 million of revenue for Ameresco. In aggregate, the initial two phases will deliver over $156 million in revenue and our successful track record position us well for future work with NYCHA. The Joint Base San Antonio ESPC is an even larger and more complex project. This joint base consists of three centrally administered air force and Army bases in central Texas. The project includes significant energy infrastructure improvements as well as a critical energy security system. The energy security infrastructure includes 20MW of on-site generation, backup generation of assets and 8MWH of battery storage. All of this is managed via an integrated control system. In total, there will be 17 energy conservation measures implemented across 900 buildings. Other conservation measures include 140,000 LED upgrades, enhanced central plant control, upgraded distribution systems with enhanced controls, extended thermal storage capacity and an upgraded direct digital control system. This project will be implemented over the next 2.5 years and should generate revenue of over $133 million for Ameresco. Furthermore, the project includes approximately $35 million of operation and maintenance over 22 years adding to our long-term visibility. Joint Base San Antonio is another great example of repeat business for us with the Department of Defence. We were awarded this project under the Department of Energy IDIQ framework. This framework has produced many attractive projects for us such as the Marine Depot at Parris Island and the recent [VA] projects that closed earlier this year. Of course, our repeat business extends beyond these two projects. We are also winning repeat business in one of the strategic focused regions the Southwest. In Texas, we were just awarded our third project with [higher education] client, as well as the second phase of an LED streetlight project. We also were awarded Phase 2 of an LED streetlight project in California. On that subject I am proud to tell you that based on a recently published report, Ameresco is the largest energy services company in terms of streetlight projects in the U.S. According to report, we buy more LED streetlights than any other non-utility purchaser in the U.S. The trend to larger more comprehensive and more complicated projects extends beyond the United States as well. As we have noted in the past, we are gaining traction in the United Kingdom. Those projects are getting larger as well. We've recently awarded a project with the National Health Services [Complex] valued at $15 million. We are also awarded the initial phase of a project with the City of Manchester that is valued at $10 million. Manchester has the potential for additional phases. As a follow on to our implementation project with the National Health Services [Western] facility, we secured our first operation and maintenance contracts in the UK. Consistent with our project portfolio in the U.S. we are focused on building our UK business with both project and through current revenue sources. On the subject of recurring revenue, for renewable energy sales we placed 4MW of solar into service during Q3, which includes 2.5MW for the Drug Enforcement Administration Facility located at Fort Bliss, Texas. However, we denounced our operations at the renewable gas plant in Phoenix as we had originally planned. We encountered some additional administrative delays and now we expect to commence operations before year-end. Naturally we are a bit disappointed in these delays, but these issues are not unusual for this type of projects. Our energy asset portfolio is in very solid shape. We estimate that our current portfolio of operating assets can produce at least $850 million of revenue over the next 20 years. This number consists of energy sales plus revenue from incentives during the contract period. Of course, we expect to sell energy beyond the contracted periods, which is not reflected in this number. Furthermore, this revenue estimate will grow materially as it does not yet include any current or future assets under development. In fact, let me elaborate on our development pipeline, which is healthy and getting healthier. During Q3, we added 23MWe to the pipeline and now have 133MWe that we expect to be operational in the next 12 to 24 months. In addition to Phoenix, we have one green gas project that we anticipate to start operations in that time frame. We also have five to seven more of these projects in various early stages that are not yet in our formal development metric. With that, I will now turn the call over to Mark for comments on our financial performance. Mark?
Mark Chiplock: Thank you, George, and good morning, everyone. Our press release and supplemental slides contain all the figures and comparisons you need, so I'm not going to repeat all the numbers. Instead, we are going to focus on the analysis of the factors that influence results. Keep in mind that we are referring to Q3 figures, unless I say otherwise, and all the comparisons are year-over-year. As George mentioned, the quarter was solid. Gross margin performance was excellent and profitability exceeded expectations. We also strengthened the balance sheet. We believe we are set up for a strong finish to the year. So let's go through the income statement first. Revenue was up slightly supported by higher O&M and energy sales. The recurring revenue from these lines of business offset the natural variability in project revenue. Gross margin performance was excellent driven by high margin energy sales, better project mix and strong execution that resulted in higher than average project closeouts. Over time, as energy sales and O&M continue to grow they will give some lift to corporate gross margin. In contrast, project margins are a bit more variable from quarter-to-quarter. Similarly operating margin was also higher as we controlled OpEx, which grew far slower than gross profit. The strong operating profitability flowed through to solid rock in net income, EPS and adjusted EBITDA continuing our long-term theme of growing earnings faster than revenue. Now, let's quickly review the balance sheet and cash flow, which remain strong. Our cash balance more than doubled sequentially. GAAP cash from operations was $25 million, while adjusted operating cash flow was approximately $70 million. Cash flow was most impacted by operating income and ongoing efforts to optimize working capital. The principal change in that regard was receivables, which we brought down meaningfully. Turning to funding, we raised gross proceeds of $30 million in non-recourse financing for our energy assets, including the first two transactions under our brand-new $100 million committed master sale leaseback facility. We paid down our corporate revolver in Q3 and have ample liquidity available to fund the development and construction of energy assets. Our project finance team is outstanding and we are confident we will have no issues in raising future project financing. Finally, turning to the outlook, we are raising our 2018 earnings guidance. EPS is now anticipated in the range of $0.71 to $0.79, while adjusted EBITDA should come in in the range of $81 million to $89 million. We still expect full year revenue in the range of $780 million to $820 million. So I want to give you a couple of reminders. First achieving the annual guidance requires us to convert some of our awarded backlog to contracts so that we can begin recognizing revenue. Second, we anticipate fourth-quarter gross margin to revert to our historical norm of around 20% based on our anticipated revenue mix. While we are not providing detailed 2019 guidance at this point, I do want to share some color on how the year should shape up based on our current forecast. We expect revenue to grow somewhat faster than our recent compound average. We also remain committed to growing earnings faster than revenue through continued operating leverage and the contributions from high margin recurring lines of business. Now, we would like to open the line for your questions. I'll turn the call back over to our coordinator, Mark, to run the Q&A session.
Operator: [Operator Instructions] And our first question comes from the line of Noah Kaye of Oppenheimer. Your line is now open.
Unidentified Analyst: Hi, good morning. This is [indiscernible] for Noah.
George Sakellaris: Good morning.
Unidentified Analyst: Hi. You are keeping your revenue guidance intact, but raising your profit outlook, can you better help us understand the key drivers for the outperformance on the EBITDA margin line, where are you getting better cost control?
Mark Chiplock: Yes, sure. So, let me talk about the guidance on the revenue first. So, with respect to keeping that range the same, we consider the projects that we still need to convert from awarded backlog and the sensitivities around that. We also had to consider the delays which were impacting revenues in Q3 and how much of that revenue could be recovered during Q4. Keep in mind that we mentioned we are still impacted by the equipment shortages on our Chicago streetlight project and seasonality is going to come into play into Q4. So all of those went into our sensitivities for revenue. Additionally, our Phoenix RNG plant, which we had anticipated coming on in Q3, once that comes online in Q4 it is still going to need time to ramp up production. So with respect to revenue that is where we came out and felt comfortable with on changing those ranges. With respect to the earnings guidance, we certainly considered the strong performance in Q3. Part of that upside we saw were some project closeouts as we mentioned that really came from Q4. I guess we would have expected those closeouts to be a bit more balanced across Q3 and Q4. And the Chicago streetlighting delay is going to push some lower margin revenue into Q4. So, we ran some sensitivities to see where the mix of revenue was going to land as well as where we could see operating expenses come in. So I think again we use some of the strong performance to raise the ranges, but I think some of the sensitivities kind of help to temper that and that is how we got comfortable with the ranges where we came up with.
Unidentified Analyst: Okay that is helpful and we also saw another sizable increase in project assets on the balance sheet, can you update us on that megawatts of solar you expect to place in service this year, and how are you thinking about total capacity additions for the fiscal 2019?
George Sakellaris: I can start that. Originally we had estimated that we would install about 40MW to 50MW of new asset projects during our balance sheet, and so far we have 25MW that we have installed and this quarter we installed 4MW of solar. And the original plan was that we would install the 6MW associated with the Phoenix plant but that slipped into the next quarter. In addition to that, we have about 15MW to 20MW – actually 20MW, 15MW of which is already constructed for the last six months that we anticipate that they will be interconnected to the utility by the end of the year. We had encountered some delays in the interconnection on those particular plans. So by the end of the year we will have in the range of 40 to 50. And then as I pointed out in my remarks actually we have pretty good pipe going forward to next year. And Mark, you might want to add something to it.
Mark Chiplock: Yes. I mean I think as we're looking forward we certainly expect to put some additional megawatt equivalents into operations. We haven't set specific guidance on that but we certainly expect that to grow.
Unidentified Analyst: Okay. Thanks and then lastly with the interest rates type getting tighter how much movement are you seeing in ESPC project finance rates?
George Sakellaris: Every time we're going to finance a particular project we have very good sources of capital. People are competing for our projects. The rates have gone up a little bit but it doesn’t have any impacted materially the projects. Sometimes let’s say if it's a $100 million project maybe would have been 105 or 110 in order to get self-funded and maybe it will come down a few million bucks but overall they have not impacted our business materially and looking forward, looking at our backlog and the kinds of projects that we have and what they will require for financing, we feel we're in very-very good shape.
Unidentified Analyst: Okay. Thank you very much. Good day.
Operator: And our next question comes from the line of Craig Irwin of ROTH Capital Partners. Your line is now open.
Craig Irwin: Good morning and thanks for taking my questions.
George Sakellaris: Good morning Craig.
Craig Irwin: Good morning. So George, in your prepared remarks you mentioned five additional green gas projects in some state of development. Can you maybe give us color on these projects as far as the gas supply agreements from different [landfills] or other green gas sources. The potential status on permitting any other items that you see is key for these projects to make a go versus no-go move over the next number of years?
George Sakellaris: Well, good question. We have five projects and I think I mentioned five to seven. Two of which I will say that they are in advanced stage of development and we will see them entering our awarded backlog probably before the end of the year. And we see those two plants be up and running within the next 24 months. Both of them are located in California as you can understand that primitive. That's why we are not giving specific dates as to how long it will take us to get these plants up and running, it takes anywhere from one year to 18 months to get the permits but this particular two they're very well advanced that we feel pretty good where we are. And then in addition to that the other plants they are in the early stage of development. So if you were to develop a business plan we will see like a Texas plant probably coming next year, late next year, early the year after. Otherwise you won't have any material impact on your earnings next year but it will 2018 would have 2020 and then 2020 you probably get another late 2020-2021 the other two plants up and running and the other plants they are further behind. As far as where we stand with getting the long term agreements, the market has moved to being able to get longer term contracts than we have in the past especially in California. But the prices though that you will get for [rims] of course they would be lower than what you would otherwise get in the, if you were in inversion. In the present we have to-date especially Woodland 50% of the output is when a fixed term contract the rest of that is on merger and as you probably know the rim prices have come down possibly on the emerging side and we will see where will end up. I would say this much on the business, it's a great business. It continues to be a great business even with the reduced prices of the rims and we think we had a very good development pipeline when it comes to the green gas plant. And of course we have excellent relationships with the various people that own this landfill sites and we will develop more, but I try to balance. We try to balance, how much capital we will put in green gas and how much capital we will put in the other renewable assets such as solar. We wanted to maximize the amount of solar that we get over the next couple of years because pretty much the capital requires on the solar plants that we own is minimum because we monetize the ITC and the accelerated depreciation. So I hope I answered your question but the business development pipeline is very healthy aspects.
Craig Irwin: Yes, that was very helpful. Thank you George. So my next question is about the plants that you brought on over the last 12 months. The green gas plants have come online. My understanding is that the EBITDA contribution of these plants increases incrementally over time. The shakedown is completed and the operating efficiency of the plants goes up. Can you maybe give us color on the sequential EBITDA contribution? How much greater was the EBITDA contribution in your September quarter versus in your June quarter?
Mark Chiplock: Yes. So Craig this is Mark. I can answer that, I mean I think sequentially from Q2 to Q3 we probably saw an incremental tick up about $3 million, $3.5 million for the one green gas plant that we have in operations that I think we spoke about we had expected originally for our Phoenix plant to come online in Q3. That did not happen. That's going to slide to Q4. So I think from the one that we have we probably saw about $3 million to $3.5 million incremental pickup in the quarter.
Craig Irwin: And the historic – the other one that you have the historic one that's much smaller was that basically flat?
Mark Chiplock: Yes.
Craig Irwin: Okay.
George Sakellaris: That [indiscernible].
Craig Irwin: Thank you and then – thank you. So then my last question is over – on the last couple of calls, you've talked about project sizes trending larger and that kind of has an interesting dynamic where I guess the potential margin at risk on an individual project goes higher but then the potential earnings could also see some sort of a benefit. Can you maybe give us a little bit of color on how the character of the backlog is shifting now versus maybe a year or two years ago? Any update as far as what you see as the timeline to convert the backlog versus what we were looking at maybe a year or two years ago?
George Sakellaris: Yes. I put the projects have been larger; no question about it and I would put them in two classes. One is, they are larger but not as complex and those projects generally they have lower margin than the projects that I put in the complex category. And they have a higher margin but the overall profitability though to the company for both projects for either project a complex or the non-so-complex they contribute to the profitability of the company because we leverage. Otherwise, for less operational measures, maintenance, operation expenditures you get more EBITDA on a per employee per project manager per development engineer and so on. So it helps the leverage of the company and as far as the mix looking forward and we do have that analysis it doesn't materially change the overall project margin, let's say of what we have in the backlog. Maybe it is one point plus or minus but not substantially different and I think Mark made it on his remark too even for the fourth quarter our gross profit margin we will pivot back to where we were normally around 20%, 20% to 21%. So we don't anticipate major changes to our gross profit margin primarily because of the larger and more complex projects. And then of course the asset and the annuity base revenues and the higher margin the overall the company looks better from that perspective.
Craig Irwin: Great. Thanks again for taking my questions. Congratulations on the strong quarter.
George Sakellaris: Thank you very much Craig.
Operator: [Operator Instructions] Our next question comes from the line of Carter Driscoll of B. Riley FBR. Your line is now open.
Carter Driscoll: Good morning George, Mark. Thanks for taking my questions. The first one is on maybe on the solar side. So we are seeing obviously a lot of price degradation or resumption of component pricing pressure. Are you seeing any benefit from that and then maybe just maybe characterize return environment and solars have been fairly steady. Are you seeing any pressure from the installers to bring down those project returns and then I have a couple follow-ups.
George Sakellaris: And of course the implementation cost bringing of course down, I think we're doing a pretty good job being competitive in the marketplace because we hire subcontractors in order to build those particular solar plants, but we have our own group and we sometimes we execute ourselves. And the prices are coming down and that helps the overall return on the projects. The panels as well like we will buy the [indiscernible] came in they went up to 60. Now they back down to 38 which is very good. So this front in that business is very good but the competition for good projects especially from the large houses and what return of capital they are looking for it's very large, but because it's very competitive and it's bringing those returns down. And that's why we are growing as to what I would say in a balanced way and measured. We will not change the returns to where some of the large houses we will go. We have a limited amount of capital and we're going to make wise investments and the infrastructure we have across Ameresco but we have got a good customer relationship. It [claims] itself for us to self develop projects and thereby get the returns that we are looking for.
Carter Driscoll: Yes. So no real fundamental change for the costs to coming down at least relatively commensurate with the pressure on returns side?
George Sakellaris: The costs are coming down but which means the project if you have a competition on the other side from the financial house wanting to own a little bit asset themselves will be able to get hopefully higher returns but the competition is such that it balances out.
Carter Driscoll: Okay.
George Sakellaris: On the other hand though what happens is it expands the market though. It does expand the market in solar and battery storage coming down -- projects before it did not pencil out they do pencil out now.
Carter Driscoll: Can you talk about the magnitude of the reduction you need to see on battery prices to really drive greater attach rates to solar particularly for say [micro-grid] opportunities?
George Sakellaris: It depends on where you are and where the demand charges are and so on and so forth. In some applications, I would say even 20% drop from where they are right now between installation they will make sense without it and but what we find in a great implication is where people are looking for resiliency and security. That's getting to be a bigger and bigger part of the need for better storages. But on the other hand though there are some other implications that we have a couple of battery installations where they pencil out because of the various incentives or the demand reduction or the frequency regulation or the utilities what they pay for particularly installation and batteries otherwise we want a contract from a particular utility to install X amount of batter storage and they will pay us Y per KW installed per KW hour.
Carter Driscoll: Maybe a higher level question. If you look at the, I mean obviously our project that slipped a little in this quarter and that's just a natural part of your business in terms of when it falls. Is there any way to quantify maybe in some range the amount of backlog that is subject to this type of variability maybe say one to two quarter variability maybe not just a single quarter whether it's by size or the type of project? Is there any way to quantify that?
George Sakellaris: It's very hard and that's why I tried to guide people to look at us and that year-to-date or 12 months to-date because it's very lumpy business. I tell you for example this particular project would [indiscernible] for three months because the board meeting. It supposed to get approved and something happened didn't go with the agenda and then it get moved by at least three months. I can tell you even on this past quarter we had some delays and some projects that were under construction but we had nothing to do it but access to the built-in wasn't available for various reasons. So that took a certain portion of our revenue. It's a lumpy business that's why I tell people and I try to put the year-to-date especially after three quarters and we feel very good where we are that the revenues have grown 13% and the historical revenue growth over 7% but so far year-to-date were 13%. So we're not exactly – we know the amount of dollars that we lost because of the delay but to do it on a normal way and being able to determine it's impossible.
Carter Driscoll: Yes. I understand.
Mark Chiplock: I’m going to add there. Yes, I mean there is going to be the variability in terms of the length of time it's taking to convert some of these projects. We're still seeing kind of the average conversion in our awarded backlog of about 18 months as we've talked about in the past larger projects that can take anywhere up 24 months and even longer. So again that's going to create some variability.
George Sakellaris: And with that to bring up a very interesting point, why I [accent] the fact that we have $819 million of contracted backlog right now because that's a good driver where we sometimes when we make our forecast for the year we have fallen short. When we estimate various contracts when they were from the award category they will flip over to the executor category and that has been very difficult to predict. That's why the less we depend let's say for next year on the world is moving to contracted the better of the company is and that's why we feel very good where we are today on the contracted backlog and hopefully we can build the next quarter and then we'll be in very good shape.
Carter Driscoll: Maybe I will ask slightly different way. Are there any component shortages or other equipment shortages you envision that whether you're seeing lead times extend that could contribute to maybe that 18 months extending longer or is that natural part of what you built in in terms of your forecasting.
George Sakellaris: Other than the street lighting job and that had to do with the controls capacitors and resistors we were getting in delivery in four weeks and then it went to not been available at all and now it's 20 weeks at delivery schedule. So basically we stretch out the schedule of that particular project. That's why we impacted the revenue in the third quarter and it's going to impact the revenue on the fourth quarter. Other than that we have seen some extension of delivery of step-up transformers in some of the solar plants.
Carter Driscoll: Okay.
George Sakellaris: And the other one that we have total in [our] control and it has been a challenge is utility interconnections. The utilities especially in Massachusetts they're overwhelmed and those two projects that I mentioned the 15 megawatts they've been actually mechanic complete for eight months now.
Carter Driscoll: Any pressure on employee hiring, I mean have you lost any, not just key employees, but have you have lost any of your contracted staff to simply a tight job market, have been any pressures there?
George Sakellaris: Not really. We are doing pretty good, actually the turnover it's relatively. It's good and the fact I think that the company is doing well and we challenged our people to get familiar with all what I call the advanced technologies and that challenges engineers and development engineers and business developers and so on because not only the market opportunity for them has grown but they get to do more than just change lights, chillers and boilers and so on. So, yes it's more fun of a job and that's where we are trying to do. So far so good. Cross your fingers but it is getting harder and harder to get the good people.
Carter Driscoll: Yes. Appreciate for taking all my questions. Thank you.
George Sakellaris: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Chip Moore of Canaccord. Your line is now open.
Chip Moore: Morning. Thanks.
George Sakellaris: Good morning.
Chip Moore: Hey George, maybe you can talk a bit about the project pipeline in the UK. It sounded like you were a little more positive they're talking about similar trends that you've seen here in the U.S. and maybe a little bit more about the outlook on for O&M activities there.
George Sakellaris: The last six months actually it took us for a while and to get traction in that particular market but the last six months or so we've been very-very successful in winning new awards and we are developing a very good brand name in that region. So yes. Like I said the business is getting to be better. And the O&M contract that we won again we think this with tremendous potential. There's a more potentially [in some of the] business and the infrastructure in the UK that there is in the United States because much all the [indiscernible] structure that we have in the United States and but moving them to getting to do the energy savings performance contracts it is taking some long time and you have to win certain frameworks and I think we are qualifying about five frameworks for the various series towns and agencies and now under those frameworks we are able to win new contracts. So the market is developing. It took some time and we feel very good where we are right now for the next 12 to 24 months and beyond that.
Chip Moore: That's great and maybe just one more from me you offered a little bit of a color on the outlook for next year, I mean you can talk a little bit more about when you talk about recent [key goal] how we should think about that? Thanks guys.
George Sakellaris: Yes. I mean look our goal we always said that we want to grow faster than the competition the 7% to 8% growth that they have and if you look our compound annual rate for the last six years is about 7% and the closer I get that to 10% the better I will feel and I think that would be a target we'll be trying to shoot. So that's what we're talking about higher somewhere between 8% to 10% somewhere in that range and but the EBITDA I wanted to get it as close to 20% as possible growth. I think where we are I think it's doable for the foreseeable future.
George Sakellaris: Sure. Appreciate it George. Thanks guys.
George Sakellaris: Yes. Thank you.
Operator: And I'm showing no further questions at this time. I would now like to turn the call back to George Sakellaris for closing remarks.
George Sakellaris: Thank you. To conclude our strong results this quarter confirms the momentum we are building and set us up for a strong finish for the year. We are well-positioned for another very good year in 2019 due to our healthy backlog in both projects and assets long term. We've benefited from this trend to more advanced technologies like distribution ratio, micro-grids and batteries storage. There's more complex projects and infrastructure updates give us confidence in the long term prospects for Ameresco. With accelerating growth high visibility and a growing portion of high margins with causal revenue we are confident in the strength of our business model. Thank you very much and have a good day.
Operator: Ladies and gentlemen thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.